Operator: Greetings, and welcome to the Liberty Media Corporation and Atlanta Braves Holdings 2023 Year-End Earnings Call. [Operator Instructions]. A reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Shane Kleinstein, Senior Vice President of Investor Relations. Thank you, Shane. You may begin. 
Shane Kleinstein: Thank you, and good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent Form 10-K filed by Liberty Media and Atlanta Braves Holdings with the SEC.
 These forward-looking statements speak only as of the date of this call, and Liberty Media and Atlanta Braves Holdings expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media or Atlanta Braves Holdings expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based.
 On today's call, we will discuss certain non-GAAP financial measures for Liberty Media, SiriusXM and Atlanta Braves Holdings, including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media, SiriusXM and Atlanta Braves Holdings, schedules 1 through 3 can be found at the end of the earnings press releases issued today, which are available on Liberty Media and Atlanta Braves Holdings website.
 Now I'd like to turn the call over to Greg Maffei, Liberty's President and CEO. 
Gregory Maffei: Thank you, Shane, and good morning to all. Today speaking on the call, we will also have Formula One's President and CEO, Stefano Domenicali, and Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling.
 Also during the Q&A, we will answer any questions related to Atlanta Braves Holdings and Braves management will be available too.
 So let me begin with Liberty SiriusXM. The LSXM and Sirius transaction is on schedule. We filed the preliminary proxy on the first -- January 30 rather. We still expect to close by early Q3 and the NAV discount, which was about 42% prior to announcement is now closed to about 25% as we had hoped, and we expect it will continue to close.
 Looking at SiriusXM itself, the strong operating and financial performance that it had in 2023 showed the durability of the business, [ sub-pay ] net adds were up in the second half, as expected, boosted by streaming, the strong margins and free cash flow generation remained largely through cost discipline. Importantly, they rebuilt their tech stack and relaunched their app in the fourth quarter. And we're beginning to show positive early results from that with better personalization, promising engagement and improved service quality. We believe these initiatives as well as the incremental content they added will continue to drive long-term growth.
 Looking at the 2024 priorities of the business: first, increasing 360L adoption and boosting conversion and retention, continuing to deliver engaging content. Recently, they signed the quite popular SmartLess podcast with Jason Bateman, Will Arnett and Sean Hayes. We do expect self-pay net add improvement throughout the year. And there is a focus on maintaining stable EBITDA margins and free cash flow. I look forward to remaining involved personally in the next evolution of the business as Chairman and a shareholder. 
 Turning to Formula One Group. It was an amazing 2023 at F1, we saw double-digit growth across all revenue streams and adjusted OIBDA up 22%. We see a strong commercial start to the season. Four REITs promotion renewals, including Silverstone, a 10-year deal with venue upgrades in our important heritage market and a new race in Madrid beginning in 2026, which will be a partial street race with convenient fan access.
 We do see continued growth in fandom. Recently, this week, F1 joined Threads and 2.8 million followers were on board of the platform after half a day of use. We closed the Quint acquisition in January, as we previously noted, and it's that growing partnership opportunities from Quint with F1, LPGP and other sports properties, including the Kentucky Derby and the NBA All-Star game. 
 Let me turn to a minute to Vegas. It was an incredible race. We were fortunate to have such a great outcome with a record 181 overtakes and the podium came down to the final lap. It was a great result for Formula One. We created new commercial opportunities and generated fantastic global buzz. A high percentage of the first time F1 attendees and massive audiences tuning into this race. It drew marquee brands to F1, for example, American Express, T-Mobile, Moet Hennessy, Google. And we think these brands and the marquee aspects that they are joining Vegas will continue to help us in 2024 and beyond.
 It was also a hugely success for the local community. The total economic impact of the race was estimated at $1.2 billion, and the average visitor spent 3.6x of what a typical visitor spends for a non-F1 event.
 We look forward to building on the success of LVGP in 2024. For example, we're going to increase the GA and expand the product offerings at various price points. We're going to optimize the cost structure. The year-round commercialization efforts at Grand Prix Plaza are developing, but we will expect only a modest contribution from those in 2024. Corporate events at that site kicked off around the Super Bowl this year.
 In summary, the Vegas race exceeded our expectations on many levels, even though year 1 costs came in higher than we had anticipated. We do not intend to close -- disclose rate specifics on this race consistent with our practice across all races. I would note that the -- we are kicking off F1 season with testing in Bahrain, which occurred and look forward to the first race in Bahrain this weekend.
 Turning to Live Nation. 2023 was the biggest year ever, where they were all-time highs for attendance, ticket sales and sponsorship, concert attendance grew 20% with 145 million fans. Global demand for concerts continues to grow. The top 50 tours did 50% more international acts in 2023. We have an incredible pipeline for 2024 with no sign of consumer slowdown. We're seeing strong demand across all price points. For example, large venue shows are up double digits, and 65% of full year large venue shows are already booked versus only 50% last year at this time. The number of shows at amphitheaters and other operated venues will also increase in 2024.
 Let me turn to the Braves. Obviously, there was incredible team performance in 2023, so much to highlight. I'd [indiscernible] one, the 947 runs scored was the first in MLB, in a tied MLB home run record as well for the team. The Braves also experienced great financial growth for the year. Baseball revenue was up 9%. We see continued success results in higher payments under MLB's revenue sharing plan. So that is the one negative about our continued revenue growth. But I'd also note the battery revenue was up 10% and our adjusted OIBDA was up 11%.
 We clearly benefit from the strengths of the Braves' territory. In a recent study YouGov, the Braves had 8.4 million fans in the South region, #1 in MLB, and over 65% of all other local sports team fans support the Braves, which is the highest crossover of any fandom in Atlanta.
 We've seen encouraging early season trades, including for 7x All-Star Chris Sale and Outfielder, Jared Kelenic. We are well positioned for future commercial and on-field success. For example, 2024 season tickets are already sold out and there is a 16,000-person wait list. We are looking forward with beta [indiscernible] to the home opener against the DBacks on April 5.
 And with that, let me turn it over to Brian for more on our financial results. 
Brian Wendling: Thank you, Greg, and good morning, everyone. At year-end, Liberty SiriusXM Group had attributed cash, liquid investments and monetizable public holdings of $90 million. This excludes $216 million of cash held directly at SiriusXM. During the quarter, Liberty SiriusXM repaid the remaining $199 million outstanding principal of its $1.375 basket convertible notes using cash on hand. Also during Q4, Liberty SiriusXM paid down $80 million under the margin loan, $61 million of which was from the monetization of its 1.8 million batter K shares.
 At quarter end, there's $1.1 billion of undrawn margin loan capacity at the parent level related to our SiriusXM margin loan. As of February 27, the value of our SiriusXM stock was $15 billion. We have $1.3 billion in principal amount of debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt is $11.1 billion, which includes $9.3 billion of debt held directly at SiriusXM.
 Turning to the Formula One Group. At quarter end, Formula One Group had attributed cash and liquid investments of $1.4 billion, which includes $1 billion of cash held directly at Formula One.
 Now the Quint acquisition closed in January. Which will be a use of Formula One Group cash. Total Formula One Group attributed principal amount of debt was $2.9 billion, which includes $2.5 billion of debt at Formula One, leaving $533 million at the corporate level. And F1's $500 million revolver remains undrawn and leverage at the end of the year was 1.9x.
 As we've said in the past, the F1 business is best annualized on an annual basis. So we'll only be speaking to full year results. Total revenue grew 25% in 2023 with double-digit growth across all primary revenue streams. Year-over-year revenue increases include the significant revenue generation from self-promoting the Las Vegas Grand Prix, including ticketing revenue, which is included in race promotion, sponsorship revenue, which is recognized accordingly. And hospitality and experience income, which is included in other F1 revenue.
 Rates promotion revenue also benefited from the mix of events held compared to 2022 with 2 additional flyaway races this year with Qatar and Las Vegas versus Imola in France in the prior year. And sponsorship and media rights revenue grew due to increased fees under new and renewed commercial agreements.
 Other F1 revenue grew 42% or $196 million, driven by hospitality and experiences, largely attributed to the Las Vegas Grand Prix. As well as growth in the Paddock Club and other events, partially offset by reduced freight income due to easing of freight cost inflation. Team payments as a percent of pre-team adjusted OIBDA as reported, was 63% in 2023, down from 66% in 2022. Other costs of F1 revenue increased from 23% of total revenue in the prior year to 32% of total revenue this year, primarily driven by promoting, organizing and delivering the Las Vegas Grand Prix. As well as increased cost of servicing additional hospitality offerings.
 SG&A at 7% of total revenue was in line with historic averages. Corporate and other adjusted OIBDA was a loss of $39 million in 2023, which includes $15 million of revenue for use of the pit building during the Las Vegas race weekend. Formula One incurs a fixed monthly rent payment that approximates depreciation, plus a variable rent component during the race weekend. Note that the fixed rent payment in 2023 reflects only a portion of the year as the building wasn't occupied until closer to the race weekend.
 Corporate level expense at Formula One Group was also elevated due to the split-off and reclassification costs. In 2024, Formula One Group Corporate and other adjusted OIBDA will benefit from the Quint acquisition that closed in January as well as a full year of the rent payment.
 Looking to 2024, F1 will host 24 races with the return of China and Imola compared to 22 races in this past year. Quickly looking at a few cash items. F1 estimates its cash tax rate in '24 to be a high single-digit percent of F1 adjusted OIBDA, increasing towards low double digits in future years as a result of the U.K. tax rate increase.
 Total CapEx incurred at the Formula One Group in 2023 was $426 million, approximately $390 million of which related to the development of LVGP, with the majority incurred at the Formula One Group corporate level.
 At the Liberty Live Group, there's attributed cash, liquid investments and monetizable public holdings of $418 million, which includes ETF assets. There's $400 million of undrawn margin loan capacity related to our Live Nation margin loan. And as of February 27, value of the Live Nation stock was $6.5 billion. We have $1.2 billion in principal amount of debt against these holdings.
 Liberty and our consolidated subsidiaries are in compliance with their debt covenants at quarter end and then quickly looking at the Braves. The Braves business is also best analyzed on an annual basis due to fluctuations in game count.
 Baseball revenue increased 9% in 2023, primarily due to increased ticket demand and attendance, leading to a 14% growth in baseball event revenue and 8% growth in retail and licensing revenue. Other baseball revenue declined primarily due to fewer concerts held compared to the prior year. The battery had another great year with mixed-use revenue increasing 10%.
 Total adjusted OIBDA decreased for the year, primarily due to increased player payroll expense as Braves management continues to invest in its on-field success, including a number of trades and accelerated player signings in December of 2023. Adjusted OIBDA for the mixed-use development increased 11% in 2023. And just a reminder that SG&A was elevated for the full year due to the split-off costs. We would anticipate a $10 million to $15 million annual run rate for corporate overhead at the Atlanta Braves Holdings.
 With that, I'll turn it over to Stefano to discuss Formula One. 
Stefano Domenicali: Thanks, Brian. The 2023 season delivered incredible racing and record financial results. On the track, we want to recognize Max Verstappen and Red Bull once again on their superb performance. The rest of the grid battled until the end. The race for the second in the Constructor championship came down to the final lap of the season between Mercedes and Ferrari.
 McLaren and Aston Martin battled for fourth with McLaren intensifying the competition after a solid mid-season upgrade. Oscar Piastri at the stellar rookie season, securing 97 points included 2 podiums and a sprint race victory. And Albon fans have much to cheer about as it scored points in a number of races in 2023, helping Williams finishing 7th, showing good progress under James Vowles' leaderships.
 Across the entire 2023 season, 6 teams were represented on the podium, a reflection of the talent up and down the grid. The new regulation are increasingly benefiting competition across the field. And we believe this will continue in 2024 as the benefit of the cost cap and the technical regulation continue to mature.
 Financially, the business generated a record revenue and adjusted OIBDA for the year. Our primary revenue stream grew, benefiting from new and renewed commercial agreement. Furthermore, our Paddock Club had an incredibly strong year with hospitality and experiences revenue growing nearly 100% year-on-year. This was driven by the expansive suite of hospitality and experience offerings at Las Vegas Grand Prix as well as growth in our core Paddock Club product with the Paddock Club sellout at 10 of 19 events.
 Towards the end of the season, we had the spectacular inaugural at Las Vega Grand Prix. It was a formidable undertake in moving the project from start-up planning to raise delivery in a little more than 1 year. We are incredibly proud of the Las Vegas team, worked with multiple stakeholders in the city and within the wider on community to deliver an incredible event on and off the track.
 Total ticket sales were 316,000 for the weekend. The race was thrilling from the start to finish. Charles Leclerc passed Perez on the last lap to secure its second-place finish. The race generated fan reach in multi-platform bus and with new viewers who haven't engaged all season. The local economic benefit generated by this race is remarkable. Local casino partners had record revenue with monthly gaming revenue for cloud counting at all-time high for the month of November.
 Stepping back to the broader calendar. The 2023 season overall delivered another year of record attendance. 6 million total fans attended the race weekend, up 5% compared to the 2022 season. 12 race promoter, report a new attendance record, including 480,000 of Silverstone, 445,000 of Mobil, 405,000 in Mexico and 308,000 in Belgium. Ratio tenders remain strong through the end of the season with record crowd in Sao Paulo and Abu Dhabi. F1 fans tuned in across platforms. Last season, we work closely with our media partners and create new tools to estimate digital viewership on platforms and channels not covered by Nielsen. Our findings suggest an additional 29% of audience that are not currently covered by traditional measurements globally, representing almost 20-million on average per race-weekend. The share of digital viewership is much higher for markets like the U.S. where fans rely more on video-on-demand and streaming platforms towards rates, especially those at less convenient times for live viewing. We will keep working with Nielsen this year to incorporate more of these digital audiences into their standard reporting to provide the most accurate picture of our total audience.
 Looking at broadcast TV, cumulative TV audience for 2023 season, excluding digital viewership was 1.5 billion, and average viewership per race was approximately 70 million. In the U.S. cumulative viewership was up 4% compared to the prior year, setting a new season cumulative TV audience record. Importantly, viewership among the under 35 and female demographics grew across all of our markets.
 Our spring series continued to drive increased engagement throughout the season, which boosted TV audiences and race weekend attendances. For our sponsor, there was an over 50% decrease in average brand exposure during the spring weekend. We look forward to the 6 events in 2024.
 Formula 1 was once again the fastest-growing major sport league on social media for the fourth year in a row with the highest growth rate compared to the 11 other global sports, including NBA, NFL and Champions League. We grew to 70.5 million followers on social media, up 17% from the prior year. We continued growth, especially in the U.S., where social media followers were up 28%.
 The U.S. continues to make up our largest orders on YouTube and Tiktok social platforms. For our f1.com and F1 app platforms, over 100 million unique visitors view it over 3.1 billion pages an increase of plus 10% over 2022, consumption of highlight videos on our web and app also grew by 35%. And we made greater commercial progress in 2023, securing contracts that will underpin our continued future success.
 As of year-end, we had over $12 billion in future revenue under multiyear contracts. Our momentum continued during the off season and into 2024. Our race promotion, we are prioritizing the quality and the value of every race slot, have it reached what we believe is a comfortable near-term MAX of '24 race. Earlier this month, we announced 10 years extension with Silverstone and look forward to enhancement to the Paddock Club and other physical infrastructure upgrade of the circuit. We are excited to welcome the Madrid Grand Prix and the 10-years agreement in a brand-new circuit with both Street and non Street segment for 2026. The race as planned to invite 110,000 fans initially and has potential to expand to over 140,000 over several years.
 We also announced 5 years extension for our Japan and Brazil races. With this announcement, we have now finalized all contract negotiation for the 2025 season, and we turn our attention to optimize the risk calendar for 2026 and beyond.
 Additionally, on media right, we are delighted to have recently secured the long-term pan-regional deal across the MENA region with its biggest sport platform beIN. This is on the heels of over half of those renewal signed in 2023.
 F1 continues to benefit from the demand for live global premium contents. We are broadcasting 200 territories and have a well-diversified portfolio of media right contracts across markets, typically ranging from 3 to 5 years. As we have said, alternative bidders including digital players are increasingly showing interest in life sports and increases competition from scarce media rights. Our F1 TV product has grown significantly since launch, with active F1TV Pro subscribers growing 37% in 2023 compared to 2022. The product has been bolstered by growing in the F1 calendars, F1 sprint races, new in-depth shows all 20 on-board cameras, Team Radius and continuously adding live programming around every season plus have revamped mobile friendly designs. We believe it delivers the best-in-class product for fans and is now available in 120 countries.
 Early this year, we rolled our price increase in the cross market for the first time since product launch in 2018 to bring the pricing in line with the market rates for the qualifying of the offering.
 Turning to sponsorship. We had successful 2023 growing existing partnership while securing new brands, including leveraging new assets like Las Vegas and F1 Academy to generate incremental demand. Puma and Tommy Hilfiger recently announced as official partner of F1 academy, and we'll have designed Liberty for the season. And beauty brands like Charlotte Tilbury also became an official partner of F1 academy, marking their first ever global sport partnership. We also announced an attractive multiyear renewal with our global partner, DHL this week.
 Going forward, we are optimizing our existing inventory to minimize impact, exclusivity and value for our partners. We are also actively creating new assets to capitalize our growing demand as sponsor preference for tailored opportunity in live events. There are targets vertical where we are underexposed including financial services and betting to name a few.
 Our fund engagement activities off the track continue to gain momentum. F1 arcades first location in London recorded 400,000 digital in this first year and the second U.K. location opening in the Birmingham. The first U.S. venue will open in Boston and D.C. this year with 20 venues targeted over the next 5 years. The F1 exhibition moved from Madrid where we welcome 170,000 visitors, it opened its second location in Vienna, early this month and will continue touring iconic global city to inspire the next generation of F1 fans.
 Sustainability remains a large priority for Formula One across our organization, commercial partner and F1 teams. More detail will be provided in the coming weeks, detailing our progress towards reaching the sustainability strategy we laid out in 2019. There are a number of sustainability accomplishment to highlight from last year. To name a few, progress continuing to develop of 100% sustainable hybrid fuel that will be introduced in 2026 and will be a drop in fuel usable in road cars without modification, which provides broader global benefits to the automotive industry well beyond the impact of Formula One. The 9 European events of the 2023 season used the freight transportation by DHL on the new fleet of biofuel truck, reducing related logistic carbon emission by 83%. The first cohort of students from F1 engineering scholarship embarked on their first word placement with the F1 teams. We will welcome the third cohort this year.
 Finally, we launched F1 Academy. The old payment driver category to develop and prepare young female drivers to progress to higher levels of competition. The second season in 2024 will see F1 academy race as a support series at 7 F1 events. The F1 teams are getting more involved in support in the series.
 In 2024, all 10 will have their liveries displayed on one F1 academic car each and will each nominate a one [ team-mate ] driver to race in the series. We look forward to beginning our 2024 season next month.
 The '24 race calendar has greater regionalization and more efficiently close of races, which reduced the distance of our [ freight kit ] travel globally in support of our 2013 net 0 commitment. China returned to the calendar for the first time since 2019. The 6 Sprint series will take place in Miami, Austria, Austin, Brazil, Qatar and China. We made small changes to the format this season with Sprint-qualified on Friday. Sprint race followed by race qualifiers on Saturday and the Grand Prix as normal on Sunday.
 And much to the delight of our fans, this off-season are certainly derive exciting. Young talent secured seats for years to come with Charles Leclerc committing to the Scuderia at least through 2025, and Lando Norris remaining with McLaren's at least through 2026. Capturing headlines, Lewis Hamilton will leave Mercedes for Ferrari in 2025 after an incredible 12 seasons with the silver arrows.
 In closing, and incredibly proud of the accomplishment in 2023 and eager to begin our '24 season. We have a solid financial foundation and an attractive growing fund base. Our team is focused on deepening this fandom with optimized content and platforms, to boost engagement while capturing more fast data so we can better tailor our commercial outreach. These efforts are spread across protecting our established fan, nurturing newly acquired fans and growing into new cohorts, especially younger audiences and underserved growth markets like Asia. We will continue to invest in our sport to capitalize on our incredible momentum. Avanti Tutta, full speed ahead.
 And now I will turn the call back over to Greg. Bye-bye, Ciao. 
Gregory Maffei: Thank you, Stefano, and thank you, Brian. To the listening audience, we appreciate your continued interest in Liberty Media and the Atlanta Braves Holdings. And with that, operator, I'd like to open the line for questions. 
Operator: [Operator Instructions] Our first question is from Ben Swinburne with Morgan Stan. 
Benjamin Swinburne: Congratulations to Renee and the Las Vegas team on a great race and outcome. I know that was a lot of work. Greg, I had a couple for you and maybe one for Brian, if he just want to entertain it. You mentioned optimizing the cost structure in Las Vegas for year 2. I just -- maybe you could spend a minute on what the opportunities are, and even if you're willing to tell us where in the P&L that might show up between kind of G&A at F1 versus direct costs.
 Any thoughts on a new Concorde Agreement that have been -- you guys had talked about trying to execute last year. Just curious if you had any update there. And then, Brian, I don't know if you had any guidance for us on CapEx at F1 in '24, now that everything is sort of built, but you probably have some maintenance costs on all these new assets. So that was it. 
Gregory Maffei: Ben, I'm going to touch on the optimizing the cost structure, then let Renee add to it. And on the Concorde Agreement, I'll let Stefano cover where we stand. So on the optimizing cost structure, look, because we moved with real speed to try and get Las Vegas up in a record time. Many things were done to accommodate a great fan experience and make sure we got done on time. And with the benefit of more time, there are many things we can optimize. There, for example, there is a temporary structure a bridge that was put over one of the roads that will become -- but it was our cost that will not be reincurred there was work that was done around ensuring great security. And I think we'll learn how to do that in a more cost-effective manner. But I'll let Renee touch on other items to see things we might be able to say about. 
Renee Wilm: Sure. Thanks, Greg. So to Greg's point, we really did lean in on transportation planning and security. No one knew just how traffic would flow. We were hoping for the best planning for the worst. And it did turn out to be significantly better than anyone feared. That will hopefully allow us this year to start looking for areas that we can cut back in. We also have the benefit in year 2 of having a playbook.
 Again, we had to lean in on fan experience and other events that will allow us to create that inaugural race weekend that we needed for year 1. But this year, we are looking very closely at every line item on the budget to see where can we maximize the fan experience and ensure safety while also looking to really cut back on some of those costs. 
Gregory Maffei: Some of that will be -- I think most of that will be a direct cost. Some of that will be in G&A, but mostly in direct. Do you agree Brian? 
Brian Wendling: I would think most of them -- yes, most would be in the operating costs yes. 
Gregory Maffei: Stefano, do you want to touch on the Concorde Agreement? 
Stefano Domenicali: Yes. Thank you, Greg. Yes, Ben. So we expect to address the renewal of the Concorde Agreement with the teams very, very shortly. We are -- our view that is basically shared with the things that basically the Concorde Agreement will need -- will not need any substantial changes this time around. So we're going to start very, very soon. We had priority to finalize before the end of the season talking about regulation and other stuff with regard to other things that need to be sold before. So now we are getting close to the time where we're going to start this discussion. Very, very shortly, as I said, Ben. 
Brian Wendling: And then last, Ben, on the CapEx. We're not going to disclose any specific numbers, but we would expect it to start to trend back to what our normal rate was in the past, specifically on LVGP. The team might evaluate different opportunities where you could put stuff on the balance sheet versus having it as rentals and OpEx. So those opportunities might arise, but overall, we wouldn't expect it to be really material. 
Operator: Our next question is from Bryan Kraft with Deutsche Bank. 
Bryan Kraft: I had one for Greg and Stefano and Brian. Greg, I was wondering if you could walk us through the steps that you still need to take in order to close the [ spin merge ] from SiriusXM, Stefano. I was wondering if you could just clarify with the Madrid Grand Prix in the race count to 25 in 2026? Or will it substitute for Barcelona or another race? And then also, Stefano, if you could just comment, I mean, just qualitatively on the media rights outlook, it seems like 2024 will be a lighter year from our media rights revenue growth standpoint based on the renewal schedule and then a stronger year in '25. I just want to see if that was right.
 And then the last one I had was for Brian. Brian, I was wondering if you could just help us with some baseline numbers for Quint events so that we could try to model that correctly? Any estimate of revenue and EBITDA from last year? And any color on seasonality? 
Gregory Maffei: So I'll touch on the first one. We received initial comments from the SEC on the proxy. I think those were relatively light credit, the legal and accounting teams for answering those or having a proxy that was clear and transparent, and we'll be able to answer those relatively quickly. So that we'll need to be cleared the final proxy by the SEC before we can go forward with a vote at the Liberty-Sirius level. We also have a parallel process with the FCC that I think is relatively pro forma, we do not believe that will be the long pole in the tent. So we're still targeting early third quarter, some chance we may be able to get it done quicker, but we're trying to manage your expectations and ours. Next question, whats the next part of the question. 
Stefano Domenicali: It's -- I would say, I think I can come in, Greg, to answer Bryan the point of Madrid, but in '26, that is a year where there will be a lot of Grand Prix, where mainly Europe, we have different options that we can take over. Therefore, I think Madrid shows one thing that was very important for us to see that the attention F1 is there also in the old continent where everyone was thinking, no, we need to move out of Europe because there's not any more the interest, Madrid shows the opposite.
 I think '26 you're going to see something interesting. We are discussing with other promoters in Europe to do something that will be announced as soon as we close for sure. But Madrid will be a big boost because the event will be organized in a place where, as Greg was mentioning at the beginning of the speech, it will be a sort of track and a place where we'll be around the convention area to allow to give the opportunity to the fans to lead that event in an incredible way.
 But of course, so far, the focus in Spain is in Barcelona. There is a big convenient to do a Grand Prix there in the next couple of years. But with regard to the media rights, I would say there are 2 points that I think that we cannot consider light the 2024 because we just signed a very important deal with beIN for the next 10 years. And we do believe that also the [ F1+TV ] were going very, very well this year. So I think that for sure is in the year where we're going to see another growth. And of course, we are getting ready for a very important year when in the future into [indiscernible], there will be the media deal in U.S. that will be a very important deal we need to discuss in the right moment. where we're going to believe -- where we believe this will be another step in terms of our growth in that landscape. 
Brian Wendling: Yes. And then, Bryan, on Quint, we're not going to give the 2024 numbers, but what we would say is that the acquisition should be accretive to the Formula One Group overall. So you can kind of do the math from there. It's not overly material to the Formula One business, but it should be accretive going forward. 
Bryan Kraft: And maybe just one follow-up for Greg. Just Greg, what's the amount of time you need between SEC approval for the proxy and the vote and then the vote closing the transaction? 
Gregory Maffei: [indiscernible] Circa 2 months. 
Operator: Our next question is from David Karnovsky with JPMorgan. 
David Karnovsky: For Greg and Renee, I think your biggest hotel partners were consistent in their views on their earnings calls that the rate should have a broader appeal and benefit some of the lower end or further properties on the strip. So interested in how you're thinking about potentially accommodating that and what it means for the rates in terms of ticketing or operational adjustments?
 And then for Brian, F1 operating leverage for the year was a little better than I think some investors had anticipated. The release you called out a reduction in the gene payout percentage as per the 2021 Concorde. Just want to make sure that was the main driver, and there weren't kind of any onetime adjustments to consider. 
Gregory Maffei: I'll let Renee touch on the Vegas partners. 
Renee Wilm: Yes. Thanks for the question. So we will be going on sale pretty soon. And when we go and sell, you'll see that we have a significantly higher number of general admission. We're actually creating a brand-new general admission only zone, which will have single-day tickets and will be at the lowest price point that you will have seen for the Las Vegas Grand Prix. This is largely driven to accommodate the lower end properties and also to bring downtown into the mix. We are also working in partnership with the LVCVA to actually engage downtown, different types of activations, potentially watch parties, but really to spread this benefit of what was an incredible weekend throughout the entirety of the rally. 
Brian Wendling: And then on the F1 operating leverage, to your point, it primarily is the team fees. There's lots of ins and outs, but there's no material onetime items. 
Operator: Our next question is from David Joyce with Seaport Research Partners. 
David Joyce: I just wanted to try to get a finer point on the team payments there. Would Quints be excluded from team share payments? Or would some of those activities, if there are only F1 related -- be involved. I guess the same would go for any other acquisitions. Would any tuck-ins be outside of the Concorde Agreement? And related to that, how are you balancing reinvesting in the business versus thinking about capital returns from here? 
Gregory Maffei: So I think Quint has an arm's length deal existing prior to our purchase with F1 and we would expect that arm's length deal to continue, but the Quint results are part of the F1 tracking stock, not part of F1. And that would likely be the case for any other acquisitions. Can't say absolutely because it would depend on the company, but likely that would be outside the F1 group or the F1 operating statement we shared with the teams.
 We continue to weigh opportunities like Vegas. Obviously, we look at lots of sporting properties. We think we have something to bring to the sporting world based on what we have been able to achieve at F1, and we think there are some things that we could bring forward to other sports properties, but we're judicious in that and people approach us because of those skills.
 Certainly, looking at continued share repurchase is an alternative as well, and we weigh third-party alternatives that might arise with that. 
David Joyce: And if I could add one on the brief, you -- could just get an update, please, on where that -- the process is with the bankruptcy courts and the RSNs? 
Gregory Maffei: Derek, do you want to touch on that? 
Derek Schiller: Sure. Thanks for your question. We're watching that closely. And what we see is the bankruptcy presentation that was made is still being followed. Diamond Sports seems to have a plan for emerging from bankruptcy. As you've probably read, we're watching and seeing that just like you are. For our purposes, we're still getting full payment and operating the agreement as normal. So at this point in time, nothing is deviating from that. We don't expect that, especially as they've laid out per their plan. 
Operator: Our next question is from Barton Crockett with Rosenblatt Securities. 
Barton Crockett: I'm just wondering on the EBITDA growth year-over-year. I understand you're not going to break out Vegas in any specificity, but is there any comment you can make on whether or not Vegas provided any material impact on that EBITDA change, did it up, down or was it no impact because that was very big kind of year-over-year growth, and that was a new race that was obviously meaningful. So that's one.
 And then secondarily, on the following up on the Braves kind of questioning. I was wondering if you could comment on some of the discussion that Major League Baseball is interested potentially rolling up on sports, local team rights or its own kind of streaming service and that, that could potentially be a roadblock or something to be resolved as you go through this Diamond restructuring? If you could talk about kind of your views, your support for that idea. 
Gregory Maffei: So touching on LVGP, I can say that LVGP was a positive contributor to F1's earnings for 2023. And with the cost optimization measures we've discussed and frankly, improved interest in the race and improved potential price points, I think we will see a greater contribution in 2024, I think that's where we'll leave that.
 On MLB, I think I'm reluctant to comment. You've seen some of the public actions that MLB has -- was against some of the Diamond proposed restructurings. But other than that, I think we'd leave it alone other than Derek, if you want anything. 
Derek Schiller: No. The only other thing I might say, just a point of clarification, if you're not aware, the current agreement with Diamond does not include streaming rights. So those streaming rights continue to be held at the league level. That's not necessarily the case for all teams, but in our case, it is. And so -- we're obviously differential to what the league is going to do as a whole, but right now, our streaming remains at the league-wide level. 
Operator: Our next question is from Stephen Laszczyk with Goldman Sachs. 
Stephen Laszczyk: Two on Formula One, maybe for both Greg and Stefano. First on Paddock. Could you maybe talk a little bit about where you see opportunity to grow hospitality revenues in '24? I'm curious what any of the pricing increase from [indiscernible] Paddock, it's been a pretty nice tailwind over the last few years. And then are there any areas across in particular where you think there's opportunity to grow capacity?
 And then secondly, on sponsorship, nice growth in '23. Could you maybe just talk a little bit more about the opportunity in '24? How much room do you feel like there still is to increase inventory without diluting the existing sponsorship value-add. Stefano, I think you mentioned creating some new assets. I'd be curious if you coul talk a little bit more about that and what verticals remain large opportunities. 
Gregory Maffei: Stefano, do you want to start on hospitality? 
Stefano Domenicali: Yes. Yes. Thank you, Greg. Thank you, Stephen. I think that -- what has been amazing is in the last couple of years, the fact that our offer in terms of Paddock Club been always appreciated by our customers. we did some adjustment on pricing, not everywhere because, of course, we understand that, of course, the prices are very important and very [indiscernible] things to do, or to apply. And therefore, I think that what we have done this year that is basically already confirming an incredible request from our partners and teams and guests is try to maximize eventual potential of growth in area that there is still availability of space. And the other thing that we are doing is to see if there is another kind of offer that we can put together.
 Of course, the fact that now we are together with Quint, we're going to exploit the maximum opportunity to make sure that the Paddock Club experience can grow also in the area of entertainment because that's the other place where we are exploiting a different way the racing can be experienced for our fans.
 And with regard to the sponsorship, I think that what we have seen in the last couple of years has been an incredible growth in terms of quality and in terms of quantity of our partners. That means that we need to keep having the right attention toward this kind of revenue stream. But that means that also we need to be ready to increase our possibilities to having the right offer in terms of new opportunity. I think that one that is pretty clear that we are able to optimize what we have done already last year in a way, has been the digital possibilities to differentiate from area to area, this different option for our partners.
 On the other side, of course, there are 2 main areas where we believe there is potential to do, but we need to have the right competencies, and we need to find the right partners consider the complexity. That is one area that's the gambling. And the other area is on the financial services that has been already taking a big step last year with Amex, but I think there is a huge opportunity that we can take into the future. And that's really where I believe in all terms that the potential to even grow is still there and will be there. 
Operator: Our next question is from Peter Supino with Wolf Research. 
Peter Supino: One for Stefano and one for Greg. Stefano, if you wouldn't mind, with Silverstone and Madrid and Sao Paulo and Suzuka all signed in the last quarter, I guess, we have seen contracts locked in for 5 or 10 years, in some cases. So how should we be thinking about the trade-offs in terms of contract duration, escalators, step-ups for promotion rights like this? Curious about the pros and cons and how we can think about that for modeling.
 And then, Greg, if you could please comment on the bigger picture for sports rights. It's become very controversial this topic that was once only driven by Optimus. And if you could let us know how you see sports rights values playing out over the next several years given the puts and takes of when you're in streaming? 
Stefano Domenicali: Well, Peter, thank you for -- with regard to the first question. I think, as always, while we take the decision with regard to the renewal, there are a lot of [ balance ] that we need to consider. First of all, of course, the financial aspect is relevant, no doubt. And the fact that we are able to stabilize with certain promoters, which we believe represent an incredible opportunities in terms of our stability on this market is a relevant element to consider. The fact that you have seen in the last couple of years that we were able to ratify incredible agreement with certain promoter means that there is, from one side, of course, a very interesting financial package. But on the other side, an incredible opportunity to develop our business in areas that are on top of the one that is related to the promotional fee. And that's really our approach.
 It is clear that if you see the development of our regionalization of the calendar, we have moved out from being a European-centric to a very worldwide basic development that needs to be kept into the future. I just want to comfort the fact that we believe 24 races is the right number. And I think that we're going to play in the right way I was mentioning just briefly before on the fact that we have certain opportunities that we want to bring into the market in the next couple of years, starting from 2026 onwards. 
Gregory Maffei: So I could just add on what Stefano said, look, you weigh, I think it's -- not unlike the sports rights question, which I'll get to in a second, you weigh, way what's the appeal of the venue and what are the economic opportunities for us. And in general, if you see us cut a very long deal, you must think -- we think it's a pretty good opportunity, both on the fan basis and on the economic basis. You see a shorter-term deal, that's open to question. And so we weigh all of those.
 On the sports rights, really the world has gotten more muddled as you suggested. In general, more people bidding, that's a positive. Also more sports, that may be a challenge. And then they issue a fragmentation and trying to find where your sport is for your fans and making it easy. We are always looking, particularly given our big sponsorship business on the trade-off between reach and what we get paid. So lots of factors there.
 Overall, on whether you're positive or negative, I would note -- I feel very positive about the sports properties we're involved with. Why? Both have incredible fan demand, have high ratings relative to what they get paid, both have passionate fan base, as I suggested, looking at ratings for where the Braves are, look at who is watching F1 and where they're willing to get up and watch it early in the morning. Both of them are not hugely monetized relative to what some of their peers are monetized.
 And I think if you look at sports rights in general, you've seen renewals on properties that did not necessarily have massive growth and still get more money. So I remain, in general, bullish on sports rights given the multiplicity of buyers and in particular, bullish on the sports rights of the properties we're involved in. 
Peter Supino: That's a great answer. And if I could pile on with one since my esteemed colleague seems to be comfortable doing the same. I wanted to ask you on the U.S. media rights for F1 ESPN renewal, it's generally understood that ESPN doesn't earn much advertising revenue on that contract. And so how do you think about the case for them paying more? 
Gregory Maffei: I think the case -- and obviously, I have a little bit of bias for this. I think the case is pretty easy. You've got one of the cases where you have massive growth in fan interest and we can show statistically how much our fan interest has grown across all sorts of platforms. We have a very desirable upscale audience. We have a younger audience, a lot of factors that they would like to bring to the party, ESPN or anybody else, not to limit it to that. So I think there are a lot of reasons why we can make the case that our media rights in the U.S. are more valuable, and there will be likely a multiplicity of players, and we will likely get a better number. 
Operator: Our last question is from Jeffrey Wlodarczak with Pivotal Research Group. 
Jeffrey Wlodarczak: I had a follow-up on Vegas. Do you anticipate after your bags experience taking a promoter role in more races, I guess, post '25. And then specifically on your decision not to let it in the 11 team, I assume -- I guess, can you provide color on that? And then, do you need a new Concorde Agreement to raise the interest fee to make more teams more palatable for the existing teams? 
Gregory Maffei: Thanks, Jeff. I'll touch on the first part about promotion or co-promoting or -- well you'll see my answer. And then Stefano, maybe you will comment on the 11th team.
 So on promotion, look, I think we went in and promoted Vegas for a variety of reasons. We thought it was a unique opportunity to promote the sport. We thought it was a unique economic opportunity. We thought we would learn a lot about being a promoter and make us more credible with other promoters. I do not know that there are many opportunities out there like Vegas, where we're going to say, we absolutely want to do this. There may be opportunities in the future where we can partner with promoters, some promoters are short on capital. Some promoters are short on some skills and there are things that we could bring to the table. But in many cases, our promoters bring local knowledge, local contacts, local strengths that are very valuable. And we wouldn't necessarily be able to supplant those. So in some way to think about enhancing that and working together, I think that's the more likely path than thinking we're going to become a promoter of a bunch of raises. 
Stefano Domenicali: And yes, Jeffrey, with regard to the second question, [indiscernible], for sure, is a point related to the Concorde Agreement, but is a point of a joint work that has to be done between the FIA and FOM in regard to the different kind of evaluation that we need to do. So I think that with regard to what has happened I think that the process has been followed and we presented the result in the right way.
 For the future, it's a matter of discussion, of course, with the teams with the right commercial and technical proposition that will be discussed accordingly within this year. 
Gregory Maffei: All right. Thank you. I believe that was our last question. Thank you again to the listening audience for both your interest in Liberty Media and the Braves. We look forward to speaking with you again next quarter, if not sooner. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.